Operator: Please stand by. We are about to begin today, and welcome to the Aptiv Q4 2025 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference to Betsy Frank, Vice President, Investor Relations. Please go ahead.
Betsy Frank: Thank you, Jess. Good morning, and thank you for joining Aptiv's Fourth Quarter 2025 Earnings Conference Call. The press release and related tables, along with the slide presentation, can be found on the Investor Relations portion of our website at aptiv.com. Today's review of our financials excludes amortization, restructuring, and other special items, and we'll address the continuing operations of Aptiv. The reconciliations between GAAP and non-GAAP measures are included at the back of the slide presentation in the earnings press release. Unless otherwise stated, all references to growth rates are on an adjusted year-over-year basis. During today's call, we will be providing certain forward-looking statements that reflect Aptiv's current view of future financial performance and may be materially different for reasons that we cite in our Form 10-Ks and other SEC filings. We will begin today's call with a strategic update from Kevin Clark, Aptiv's Chair and Chief Executive Officer. Then Varun Laroyia, Aptiv's Chief Financial Officer, will cover our results and guidance in more detail. We'll then have brief remarks from Joe Liatine, Versagen's Chief Executive Officer, before Kevin and Varun take your questions. With that, I'd like to turn the call over to Kevin.
Kevin Clark: Thanks, Betsy, and thanks, everyone, for joining us this morning. Starting on Slide three, we capped off 2025 with another solid quarter in which we seamlessly navigated ongoing changes in the macro environment. Our resilient operating model, which leverages our industry-leading engineering innovation, integrated global supply chain and manufacturing footprint, and best-in-class commercial capabilities, enables us to execute flawlessly in this dynamic environment.  As we discussed at our recent Investor Day, we've been successfully leveraging our product portfolio and operating model to penetrate non-automotive markets, where the shared secular trends of automation, electrification, and digitalization are aligning customer needs for mission-critical applications across automotive, telecom, industrials, and other markets. Our momentum continued during the fourth quarter across all segments, as reflected by our partnership announcements with two robotics companies, Robust AI and Vecna Robotics, spanning sensing, compute, and software in intelligent systems. The launch of our modular connector series, developed jointly by our automotive and aerospace teams, and engineered components for multiple end-market applications, and a new business award for energy storage and management electrical distribution systems. Overall, we posted strong bookings in the quarter, validating customer confidence in our operating model across both geographic regions and end markets. During the quarter, we finalized the leadership team for our electrical distribution systems business, which remains on track to spin out as Versagen on April 1, under the leadership of Joe Liatine, who you'll hear from in a moment. We're confident that Versagen is well-positioned to deliver continued value to their customers and create value for their shareholders. Turning to our financial highlights, we reported record fourth quarter revenue of $5.2 billion, an increase of 3%, reflecting strength across multiple areas of our business. Adjusted operating income totaled $607 million as flow-through on volume growth and strong operating performance helped offset stronger than anticipated headwinds from FX and commodities. Combined with lower net interest expense and a lower share count, earnings per share totaled $1.86. Lastly, we generated $818 million of operating cash flow, more than half of which we deployed towards share repurchases and debt reduction. Varun will discuss each of these in more detail a bit later. I'd like to turn to slide four to touch on our achievements during 2025 and review the progress we made further strengthening our business model and increasing shareholder value. First, we continue to enhance our product portfolio with the launch of a number of new innovations across each of our segments, including interconnect product lines that leverage our expertise in both the automotive and aerospace markets, next-generation sensing and AI-powered software solutions that deliver market-leading performance at a competitive cost for applications across a broad range of end markets, and lastly, high-power distribution solutions for applications in energy storage. Second, we continue to gain new business with target automotive OEMs and further penetrate higher growth, higher margin non-automotive markets, as reflected by almost $4 billion of new business bookings with leading local China OEMs, new business awards with non-China Asian OEMs that totaled just under $4 billion, representing an increase of 20% over the prior year, and non-automotive new business bookings that reached more than $4 billion. Third, we continue to strengthen our operating model to further enhance our execution capabilities and enable profitable growth, including the continued enhancement of our supply chain digital twin, with 95% visibility down to at least Tier three levels, and 99% of our semiconductor supply chain down to Tier five level. The opening of a new engineering technical center in Chennai, India, to support our growing software and services business, and further optimization of our manufacturing footprint through the consolidation of seven facilities in North America, EMEA, and Asia Pacific. All of which enabled us to deliver record financial performance, including the impact of headwinds associated with tariffs, FX, and commodity prices, further complemented by disciplined capital allocation, which Varun will talk about in more detail shortly. Moving to slide five to review our new business bookings. As expected, customer awards were strong in the fourth quarter, leading to a record second half of the year bookings, bringing full-year new business awards to $27 billion, short of our target of $31 billion, a result of customer awards shifting to 2026 as we previewed in the last quarter. Customer awards were strong across each of our segments and were highlighted by awards in the China market totaling $5 billion, of which almost $4 billion was with the leading local China OEMs. Awards with Japanese and Korean OEMs that totaled $3 billion, representing a mid-single-digit increase over the prior year. And new business bookings in the rapidly growing India market, which increased significantly to over $800 million. We exited the year with a large and growing pipeline of commercial opportunities and expect 2026 bookings for total Aptiv, including Versagen, to increase to over $30 billion. Let's now review each segment in more detail. Moving to Slide six to review fourth quarter and full-year highlights for our Intelligent Systems segment. A couple of notable program and product launches in the quarter include numerous launches of local China OEMs across our product portfolio, including a Gen seven radar launch with a time to market of just four months, a smart camera launch also leveraging Wind River VX Works, and launches that leverage local China for China solutions for SoCs and software. The launch of an interior sensing system for a leading commercial vehicle OEM incorporating advanced biometric and attention monitoring software features, the launch of new ADAS software features on an existing system for a leading European OEM, and the introduction of next-generation radar solutions as well as the Wind River Cloud Platform for AI-ready private cloud applications. Moving to new business bookings, which were principally driven by strong demand for our active Gen six ADAS system award spanning multiple models and variants for a leading Indian commercial vehicle OEM that includes the full software stack and Gen eight radar solution. A next-generation high-performance compute solution spanning multiple platforms developed in partnership with a top global OEM. And a full-stack ADAS system for a large Korean OEM, incorporating Aptiv software and sensors reflecting the continued expansion of our technology partnership. In addition, we announced multiple new partnerships, featuring integration with our innovative sensing solutions such as Pulse, advanced compute, and Wind River Software Suite. With Vecton Robotics to co-develop next-generation autonomous mobile robots, or AMRs, enhancing safety, intelligence, and cost-effectiveness across warehouses and factories. And robust AI, to co-develop AI-powered cobots accelerating innovation in warehouse and industrial automation. We're encouraged by the momentum we have in the robotics sector and look forward to sharing further developments during 2026. Lastly, Wind River established a strategic partnership with a leading global cybersecurity provider to jointly pursue next-gen software tech stack opportunities in the automotive market. Moving to slide seven to review the fourth quarter and full-year highlights for our Engineered Components segment. Our product and program launches, as well as our new business awards, validate the strength of our product portfolio and operating capabilities across multiple end markets. Notable new product program launches during the quarter include the light-speed single-pair Ethernet technology for applications across increasingly connected and space-constrained end markets, such as industrial automation and next-gen mobility. A compact connector featuring high-speed data interfaces for seamless integration with sensors for Japanese OEMs' SUV models. A next-generation safety-critical rapid power reserve for a local Chinese OEM's all-electric SUV and a high-voltage connector launch for European OEM's global EV platform. New business bookings included a modular connector award for a major European OEM, enabling scalability across platforms, to support next-gen architectures, an award from a leading North American OEM on their top-selling truck and SUV platform, including high-speed interconnects, connectors, and terminals. And a ruggedized high-performance interconnect award for use in marine applications, validating the lightweight, flexible, and highly durable nature of our products. Turning to slide eight to review our Electrical Distribution Systems segment. New program launches reflected the strength of our new business awards over the past few years, including a launch for a high-volume SUV program for the leading North American-based global electric vehicle OEM. The launch of a BEV and extended range EV for a local China OEM that are planned for export markets. A launch for a major India OEM's premium SUV, and a complete low-voltage commercial vehicle launch for next-generation high-performance agricultural vehicles. Moving to new business awards, which span all major geographic regions and include an award with a leading China-based global electric vehicle OEM for production in Europe, serving as a key enabler of their regional manufacturing expansion. An award with a leading European-based global OEM on their new software-defined vehicle architecture, an award for low and high-voltage content across brands, models, and powertrains for a Korean OEM, and lastly, an award for a high-efficiency energy storage solution engineered for grid optimization. In summary, we executed well throughout 2025, finishing the year with strong momentum in the fourth quarter. Each of our three segments is enhancing their market positioning, deepening their customer engagement, and broadening their revenue mix. The penetration of new end markets and regions. The customer awards we've received validate our strategy and the investments we're making to capture the opportunity ahead. I'll now turn the call over to Varun to go through our financial results and our full-year and first-quarter guidance in more detail.
Varun Laroyia: Thanks, Kevin, and good morning, everyone. Starting with our fourth-quarter financials on Slide nine. Aptiv delivered solid financial results in the fourth quarter, reflecting our continued execution focus on driving operational efficiencies and reducing costs across our business. Revenues totaled $5.2 billion, an increase of 5% on a reported basis and up 3% on an adjusted basis. Adjusted EBITDA and adjusted operating income margin rates were in line with our Q4 outlook and down only modestly on an absolute basis year over year. This was entirely driven by the impact of unfavorable foreign exchange and commodity, which amounted to a 160 basis point headwind to margin in the quarter. Excluding FX and commodities, our Q4 operating income margin would have been up 70 basis points versus the prior year, reflecting flow-through on volume and ongoing performance improvements. Earnings per share totaled $1.86, an increase of 6% from the prior year, reflecting the benefit of share repurchases and lower interest expense from capital deployment initiatives over the course of the year, partially offset by a higher tax rate. Operating cash flow totaled $818 million, a decrease versus the prior year owing to an increase in net working capital as we continued to invest in semiconductor inventory. As well as approximately $80 million in separation costs related to the upcoming spin-off of Versagen. Turning to the next slide and looking at fourth-quarter adjusted revenue growth on a regional basis. In North America, revenue grew 8% with double-digit growth in both Intelligent Systems and EDS. In Europe, revenue was down 1% in line with vehicle production in the region and relatively comparable across our segments. And in China, revenue was down 5% reflecting the continued impact of unfavorable mix. That being said, our performance versus the market in China improved further this quarter, a positive sign as the team works to further enhance our customer mix. End of note, approximately 80% of our China new business awards in 2025 were from the local OEMs. Moving on to our segment performance on Slide 11. Starting with Intelligent Systems, revenue of $1.4 billion increased 2% versus the prior year, predominantly driven by North America and the benefit of new program launches. Intelligent Systems operating income declined 17% reflecting three items. First, investments across both product and go-to-market capabilities as we continue to expand into non-auto markets. Second, the timing of engineering and commercial credits and commercial recoveries, and third, unfavorable FX. For Engineered Components, revenue of $1.6 billion increased 1% versus the prior year. Operating income increased 8% and margin expanded 60 basis points driven by flow-through on volume and continued performance improvements. This more than offset the impact of unfavorable FX and commodities, which were driven by higher copper, gold, and silver prices. And lastly, for our EDS business, revenue of $2.3 billion increased 5% principally driven by North America. EDS operating income declined 2% year over year, and margin contracted 90 basis points. This was driven by a significant headwind from FX and commodities as well as unfavorable labor economics, which are partially offset by performance improvements across manufacturing, material, and volume flow-through. Now let's turn to cash flow before we discuss guidance. Starting with Slide 12, we generated $818 million of operating cash flow in the fourth quarter. The decrease versus the prior year was primarily owing to unfavorable net working capital with investments to build semiconductor inventory. In some cases, this inventory build has been customer-required and has yielded dividends with our ability to mitigate supply chain issues that have emerged in the industry. In addition, as we get closer to the spin, we incurred approximately $80 million of separation costs in Q4, bringing the year-to-date total to approximately $180 million. Nevertheless, our full-year operating cash flow remained robust at well north of $2 billion, which led to an elevated year-end cash balance of $1.9 billion. Our capital allocation efforts in 2025 were twofold. First, retiring $1 billion in debt to reduce our leverage following the accelerated share repurchase program. And in Q4 specifically, we retired $150 million in debt through open market repurchases. And second, deploying $400 million towards share repurchases in the third and fourth quarters. This includes repurchasing 3.9 million shares in Q4, deploying approximately $300 million. As a reminder, since 2024, with the accelerated share repurchase program, we have deployed approximately $3.5 billion towards share repurchase, reducing our share count by 20%. And we remain committed to returning excess cash to our shareholders. Let's turn now to our 2026 financial outlook. Our full-year 2026 financial guidance includes a view on total Aptiv, which we believe is important for continuity and comparison, as well as views on each of NuAptiv and Versagen on a pro forma basis to provide visibility into our future state following the spin expected to be effective on April 1. Starting with NuAptiv, we forecast revenue in the range of $12.8 to $13.2 billion, up 4% at the midpoint, reflecting the benefit of new program launches, the abatement of certain headwinds that weighed on 2025 revenue growth, as well as improved end-market and product mix. EBITDA and EBITDA margin are expected to be $2.42 billion and 18.6% at the midpoint. This includes approximately $50 million in stranded costs for the full year and $35 million of engineering and go-to-market investments we are making across our businesses as we continue to grow our non-auto revenues. Excluding stranded costs, NuAptiv pro forma margin would be up 30 basis points year over year, reflecting the benefit of volume flow-through and performance improvements primarily in manufacturing and material. EBITDA margin will also reflect continued improvement in our business mix, specifically faster growth in software and services. Adjusted earnings per share is estimated to be in the range of $5.70 to $6.10, which assumes an effective tax rate of 18.5%. Please note that our NuAptiv EPS guidance does not incorporate the benefit of returning capital to shareholders through repurchases. However, it does incorporate the expectation that we will pay down approximately $1.9 billion in debt in 2026, funded principally from the Versagen spin dividend proceeds of approximately $1.6 billion, with the remainder funded with cash on hand. Subsequent to this, both NuAptiv and Versagen gross leverage is expected to be in the range of two to 2.5 times, in line with what we outlined at Investor Day. Free cash flow, measured as operating cash flow less capital expenditures, is estimated to be $750 million at the midpoint. This is net of approximately $250 million in separation costs associated with the EDS spin to be settled in 2026 and a further $200 million investment in semiconductor inventory build. As we mentioned at the beginning of last year, we have worked diligently to strengthen the resiliency of our supply chain and invested to build semiconductor inventory coverage to approximately twelve weeks. This has positioned us well given the heightened concerns over an industry-wide DRAM shortage. And we see minimal impact to us from a supply perspective in 2026. While we are confident of our ability to build inventory and work on long-term solutions with our customers and suppliers, we do expect to see higher input costs related to semiconductors, which we will pass on to our customers. Moving on to Versagen. We forecast revenue in the range of $9.1 to $9.4 billion, an increase of 2% at the midpoint versus a backdrop of vehicle production down 1% in 2026. We expect EBITDA and EBITDA margin of approximately $990 million and 10.7% at the midpoint. On a year-over-year basis, margin expansion is expected to be driven by flow-through on volume and manufacturing and material performance improvements, offsetting headwinds from labor economics, FX, and commodities. And lastly, free cash flow is expected to be $250 million at the midpoint, reflecting continued investments in footprint rotation and manufacturing automation that we discussed at Investor Day. Moving now to our first-quarter guidance and expected cadence through the course of 2026. As a reminder, given the expected effective spin date of April 1, our first-quarter results will be reported as total Aptiv. We expect first-quarter revenue for total Aptiv of $5.05 billion at the midpoint, reflecting adjusted growth of approximately 1%, with NuAptiv slightly above this range and EDS slightly below. Q1 revenue growth is below the full-year range, primarily owing to the cadence of expected global vehicle production in 2026. IHS forecasts vehicle production to be down 4% in Q1, which equates to down 2% on an Aptiv-weighted market basis. We expect adjusted EBITDA and EBITDA margin of $740 million and 14.7% at the midpoint. This includes a 120 basis point headwind associated with FX and commodities. And earnings per share of $1.65 at the midpoint, and this reflects an effective tax rate of 20.5%. For total Aptiv, the increase in the effective tax rate from 17.2% to 20.5% is attributable to the implementation of the Pillar two global minimum tax. Though the cash tax rate is expected to be lower than the ETR by approximately 300 basis points. Finally, as I close, I'd like to reiterate that with our resilient business model and relentless focus on optimizing performance, we remain confident in our ability to drive strong execution and financial results, as well as enhance shareholder value. And with that, I'd now like to hand the call to Joe Liatine for his thoughts on Versagen.
Joe Liatine: Thanks, Varun. Great to speak with all of you again. Since we last spoke, we've continued to work diligently to ensure a smooth transition ahead of our first day of trading as an independent company on April 1. As Kevin shared, EDS had a very good year in 2025. We posted solid revenue growth and expanded our EBITDA margins through continued progress on our operational initiatives and drove another year of strong bookings, laying the foundation for future growth. We have momentum heading into 2026, and as an independent company with a strong financial profile, we're confident in our ability to deliver value for shareholders. And I look forward to meeting with many of you in the coming months. I'll now hand it back to Kevin and Varun to complete the call.
Kevin Clark: Thanks, Joe. As I wrap up today's call, I want to provide additional context on 2025 and our outlook for 2026. Let me start by level setting on where we've been. During 2025, we continued to enhance the resiliency of our business model with the introduction of a broad range of market-relevant products and solutions, the continued increase in bookings with target customers across regions and end markets, and the ongoing enhancement of supply chain and manufacturing capabilities. During the year, we also illustrated our ability to execute in a dynamic environment. We navigated changes in geopolitical trends and global trade policies, as well as customer-specific challenges, and delivered earnings growth in the face of FX and commodity headwinds that were significantly larger than we had initially anticipated. As we look ahead to 2026, we expect the macro environment to continue to remain dynamic. But with the strength of our operating model, we're confident that we're well-positioned to execute our strategy. We're poised to capture commercial opportunities that are higher growth and higher margin across multiple end markets, and we'll continue to invest in our product portfolio and go-to-market capabilities to execute on these opportunities, while also continuing to further optimize our cost structure and eliminate the stranded costs associated with the spin. 2026 is a very exciting year for both Aptiv and for Versagen as we unlock value through the formation of two independent, optimally positioned public companies. Our team remains relentlessly focused on navigating the challenges and opportunities ahead while also serving our customers and delivering strong financial results to enhance shareholder value. Operator, let's now open the line for questions.
Operator: Thank you. Signal by pressing star 1 on your telephone keypad. If you're using a phone, please make sure your mute function is turned off to allow your signal to reach our equipment. We request that you limit your questions to one initial with one follow-up so that we may take as many questions as possible. Again, press star 1 to ask a question. We'll pause for just a moment to allow everyone an opportunity to signal. 
Dan Levy: Hi, good morning. Thanks for taking the questions. I wanted to start first with a question on your memory exposure because I think that's top of mind for a lot of folks. You said that this wouldn't really be an issue into 2027. Maybe you could just give us a little more insight into what percentage of your COGS memory is of RemainCo, and when your contracts reset in 2027, what magnitude of impact this could be, and what is the line of sight to fully recovering all of those higher costs.
Kevin Clark: So it's Kevin. Let me start with just sizing it. So to put it in perspective, memory, the purchase value is roughly $175 million as we sit here in 2026. And the majority of that is DRAM three and DRAM four. So those are the categories. Pricing or price increases for us in calendar 2026 are low double digits, and that's the result of the supply chain management strategy that we've been implementing over the last couple of years and included higher inventory levels as well as longer-term contracts with our semiconductor suppliers. As we head into 2027 or look at 2027, those negotiations actually had started months ago. So we're well ahead of kind of the current outlook for overall price increases. And we're confident that we'll be able to come in at a level consistent with 2026. We'll be higher, but a level that is certainly below the 100 to 120% price increases that you're hearing thrown around today. As it relates to whatever that price increase ends up being, we've been successful in the past, obviously, pushing through price increases or cost increases associated with various aspects or various inputs, semiconductors. I think this is an area we've already had conversations with all of our OEM customers. They understand the situation. And not that we won't have to have some difficult conversations, but we're highly confident we'll be able to push those cost increases through to our OEM customers.
Dan Levy: Thank you. And just a reminder, you recovered 100% of your semi-inflation from the 2021 chip crisis?
Kevin Clark: Yeah. A little less than 100%, but pretty close.
Dan Levy: Great. Thank you. As a follow-up, I wanted to ask about the guide for new Aptiv into 2026. You're guiding to an adjusted growth of 4%. It is at the low end of the range of the 4% to 7% that you talked about at Investor Day. Maybe you could just give us a sense of what's a little lighter in '26 versus what accelerates into the out years?
Varun Laroyia: Yeah. Hey, Dan. Good morning. It's Varun Laroyia. Listen. With regards to RemainCo guide, if you go back to Investor Day, the four to seven points growth that we had talked about through 2028, that remains intact. Right? It really starts with RemainCo still having about three-quarters of its business in the auto industry. And as you think about where expectations are for global vehicle production in 2026, and then in '27, '28, which it gets back to some level of growth. That's kind of the starting point number one. And then the second point I'd like to highlight is with regards to our non-auto revenues. Those are growing strongly. On a full-year basis, 2025 non-auto grew about eight points. And in the fourth quarter, other industrial revenue growth grew faster than our commercial vehicles revenue grew for NuAptiv. So that continues to grow and grow well. But again, it's about a quarter of the business. So in the outer years, with the investments we're making in both product but also in go-to-market, we expect that business to come through strongly. And finally, our Software and Services business continues to grow at mid-teens, which we are pleased with.
Kevin Clark: If I could just augment what Varun just talked about, it really comes down to vehicle production and assumption. If you look at where we were and IHS was for the 2026 calendar year back in October, November, and then the average weighted market basis, our outlook was vehicle production up 1%. As we sit here today, our outlook and where IHS actually sits is actually, for, on a comparable basis for vehicle production to actually be down 1%. So it's that swing in global vehicle production and the weighting by market.
Dan Levy: Great. Thank you.
Operator: We will move next to Emmanuel Rosner with Wolfe Research.
Emmanuel Rosner: Great. Thank you so much. Good morning. Continuing on this the outlook for the new Aptiv, I was wondering if you could just frame for us some of the puts and takes in the EBITDA outlook for 2026. Margins, basically, stable at midpoint, but obviously pretty decent organic growth. And then you have some puts and takes in terms of one-time costs, inflation, and some of the offsets. So if you could just give us a sense of what that walk looks like, landing you around stable margins.
Varun Laroyia: Yeah. Emmanuel, it's Varun Laroyia. As we think about new Aptiv 26 versus 25, here are some kind of key elements, just to highlight for you. The first is just in terms of revenue growth. The volume that comes through associated with that and obviously the EBITDA. And that will kind of pick up just over a point. Okay? Commodities are expected to be a negative in 2026 for RemainCo. Again, it's a far smaller number associated with RemainCo versus Versagen. So about 50 bps is what we currently forecast with regards to EBITDA margin hit associated with that. We have our usual net price downs, so think about the one to one and a half points of what we typically have with net price downs. So that will be another negative associated with that. And then we've talked about investments to grow our non-auto side of the business. This includes go-to-market and also engineering. But again, and stranded cost as I mentioned also, which is about 40 basis points, about $50 million. Offsetting this are other performance items such as manufacturing, material, and also labor economics that we see. From a RemainCo perspective that will kind of help offset some of those pieces. So net-net, as you think about it, outside excluding stranded costs, we do expect on a pro forma basis, new Aptiv margins moving up on a year-over-year basis.
Emmanuel Rosner: That's super helpful. And then as a follow-up, would you be able to provide a similar framework for Spinko?
Varun Laroyia: Yes. Most certainly. Listen. From a Spinko perspective, overall, 26 versus 25 margins are up. And if you were to take them at a midpoint basis, on a pro forma basis, up about 40 basis points. Right? And it really starts with the volume associated with the growth that's anticipated. So obviously, Versagen, EDS, had a terrific 2025, finished the year strong, tremendous momentum in the business, great bookings coming through. And so from a growth perspective, roughly about the volume growth that comes through and the volume flow-through that comes through is a positive. On the flip side of it, as I mentioned, commodities are expected to be a negative, roughly about 50 basis points. Net price downs about 60 basis points and then finally, some stand-alone costs, which are roughly about $15 million that we talked about at Investor Day. And again, offsetting these elements are performance items such as manufacturing material, which will add back the better part of about 130 basis points of positive EBITDA, and that kind of are the key elements to think through from a bridge perspective twenty-five to twenty-six.
Emmanuel Rosner: Great. Thank you.
Operator: We'll go next to Itay Michaeli with TD Cowen.
Itay Michaeli: Great. Thank you. Good morning, everybody. Just to follow-up on the last question. Curious how you're thinking about just the FX commodity impact on new Aptiv kind of beyond 2026? I think the targets for 2028 assume the minimal impact in the 200 bps of EBITDA margin expansion. Do you think that's kind of recoverable beyond this year? Or kind of how should we think about the kind of longer-term impact?
Kevin Clark: Yeah. Definitely. I mean, we're still confident in our ability to expand margins at RemainCo by 200 basis points and, obviously, to do the same in Versagen. Versus your business, 2026, as it relates to RemainCo, there's the impact of stranded cost that Varun talked about. There's some incremental investment in engineering go-to-market capabilities that he walked through. Those are more 2026 related than they are 2027, 2028. Stranded costs obviously, will come out of the system in 2027 and be gone by 2028. There's a bit more that comes out in 2027 than in 2026. As we sit here today. So we remain very confident in our ability to expand margins by 200 basis points.
Itay Michaeli: Terrific. Very helpful, Kevin. And then as a quick follow-up, hoping you can give us a little bit of a high-level view of how you see your revenue performing regionally this year. You've had very strong outperformance in North America. You mentioned China also improved sequentially. Hoping to get a little bit more color as to kind of how you see regional revenue progress this year.
Varun Laroyia: Yeah. Itay, it's Varun Laroyia. Great question. And really what I'd point you towards is how we performed in 2025. You think about North America, certainly global vehicle production versus what our initial estimates were and where it finally ended up certainly provided a tailwind for North America. But I think importantly, as you think about our non-auto revenue growth, software and services, predominantly in North America. So from that perspective, I would probably share with you that North America will continue to lead the way. Then from a European perspective, based on where GDP is roughly flat to slightly down. And then from a China perspective, our overall mix continues to improve with the China local OEMs, number one. The second piece I kind of highlight about Asia Pac and China in particular is we will end up lapping a couple of programs in Intelligent Systems we had called out in the second quarter. Those will lap, and so we will expect to see a better second-half number come through from China. And finally, I'd say is, and Kevin referenced this in his prepared comments, the growth that we are seeing with Japanese OEMs, the Korean OEMs, and also in India, that again is strong coming through. And so as you think about 'twenty-six, North America, APAC, and then I'd say Europe will be flat to slightly down.
Itay Michaeli: That's very helpful. Thanks so much.
Operator: We will go next to Mark Delaney with Goldman Sachs.
Mark Delaney: Good morning. Thanks very much for taking the question. You said that the S&P outlook for the production cadence this year is being consistent with your view that 1Q growth is slower than growth picks up beyond the first quarter. Can you speak more to what you're seeing with OEM schedules and how much visibility Aptiv has into that pickup starting in 2Q?
Kevin Clark: Yes. It's Kevin. I'll start and Varun will provide you with more details. Obviously, as you look at the first quarter, at least four to six weeks out, we're on customer schedules. Now we have forecasts from most of our OEMs out for the full year. And as we sit here today, the schedules report a relatively weak year-over-year market in the first quarter. Right? So vehicle production being down, you know, roughly 4%. We're seeing weakness or we see weakness in China in line with what IHS is forecasting at this point in time. Beyond that, the forecast we receive from our customers, we see continued strengthening into Q3, Q4. Those are schedules that are locked in at this point in time, but as the order continues to evolve, we'll get increasing visibility and, you know, to the extent we're out communicating in the open market, we'll share updates to investors in terms of what we're seeing from a market outlook. But right now, we would say it very closely mirrors exactly what we're forecasting from a 2026 vehicle production standpoint.
Mark Delaney: Thanks for that, Kevin. My other question is on the bookings, and you had spoken last quarter about the potential for some timing to shift into '26, which came through. But maybe just talk a bit more on the broader bookings environment in terms of the consistency of some of the programs that did shift. Anything in common that led to that? Is it more regionally driven or any commonality by powertrain type that may be behind some of that shifting? And when you look at your win rates, you know, to what extent is that tracking in line with your expectations and supportive of that longer-term growth that you laid out at the Investor Day?
Kevin Clark: Yeah. Win rates continue to be strong. The shifting we saw in the fourth quarter related to programs in North America and Europe. We're well-positioned. We're confident that those are programs that will be awarded a matter of timing. I think when you're in markets like we've been over the last year or so with the dynamics of trade, with tariffs, with for some products, shortages, or tightness for some OEM customers if they're having specific unique supply chain issues. The focus of the procurement organization tends to shift to managing those situations versus awarding business. But, ultimately, if they don't want to impact SOPs, business needs to be awarded that engineering organizations can start working on those programs.
Mark Delaney: Thank you.
Operator: We'll go next to Joe Spak with UBS.
Joe Spak: Hi, Joe. And, sir, your line is open. You may want to check your mute button.
Joe Spak: Sorry about that. Good morning, everyone. Just going back to the '26 outlook, and Varun, I appreciate all the puts and takes. I just want to maybe dive in on a couple more things, specifically on the top line. Like, for Versagen, like, how much is copper helping the top line in that growth number? Maybe FX for each company as well? And then, you know, we also saw some big numbers put out by some automakers in terms of, you know, cash they're gonna give to suppliers for canceled programs or lower volumes. Is any of that baked into your outlook? And if not, is that something you are those conversations you're having and something you think you could expect to receive over the course of the year?
Kevin Clark: So let me start with the last, and then Varun can walk you through your first few questions. Listen. As it relates to commercial recoveries, that's an active in your dialogue that quite frankly, is going out with customers all the time as it relates to various whether they're distinct or unique programs that are canceled or other items. As it relates to some of the larger decisions principally in North America as it relates to EV programs. Those are discussions that are underway now at this point in time. Certainly, the resolution of those is factored into our 2026 outlook. I wouldn't consider it wouldn't upside to our overall operating performance. They still need to be negotiated and finalized. I think some of the larger programs with some of the OEMs that we deal with especially in North America, I would say there's strong agreement that the situation needs to be resolved, and they need to support the supply base. So I don't think it's a matter of negotiating those recoveries. It tends to be how much. So, yes, they're in our outlook. At a level that we have high confidence in. But, Joe, there's you know, the nature of this business is there's an amount of that activity that goes on year in and year out, and it could be things like labor economics, program cancellation, program delays, commodity pricing, things like that that maybe there is a contractual mechanism to deal with that need to be dealt with separately.
Varun Laroyia: And let me pick up the first part of your question, Joe. With regards to commodities, and essentially from our perspective, for Versagen, it's primarily copper. We expect copper as of now, we've budgeted that at $5.5 a pound. Versus a $4.51 number in actuals 2025 that leads to close to $200 million from a top-line revenue perspective. Though I do want to share with you and clarify, when we talk about a 2% growth at the midpoint for Versagen, that is adjusted growth. So that excludes the impact of any FX or commodities.
Kevin Clark: Perfect. And the other thing, just from a mechanism standpoint, the way that works, Joe, is copper's index, so roughly 70% of our overall activity where we sell copper and principally in the EDS business, it's index. That price increase is passed on to the customer. Typically, sometimes it's six months, but more often than not, roughly on a three-month sort of delay. So that's how it effectively plays out from a reimbursement standpoint and pricing standpoint.
Joe Spak: Okay. Maybe, just one more. I know this sort of changed over the years, but it's something that's come into more focus of late with is the peso. Because I know you used to hedge a lot of that, then I think you started to let more of it flow. Can you just remind us sort of what the current status of that is and maybe the sensitivity to the peso as well?
Varun Laroyia: Yeah. This is so Joe, no, thanks for raising that. Again, listen, as we think about FX, with the weakening U.S. Dollar and our lack of an operational hedge primarily for our Versagen business, that's where the peso hurts. As that, if you're going to go back to a year ago when we gave guidance for 2025, the peso was just shy of 21 to the US dollar. I think we had flashed a 20.75. And if you see where it's currently tracking at sub 18, that certainly causes a ton of OI impact. Having said that, obviously, do have hedges in place. And then for 2026, in particular, we essentially hedged about 95% below 18. Okay? And so that's certainly less the impact up to a certain point. But clearly, in 2025, given the volatility from the start of the year to where it ended up, it certainly was a big driver of the impact that we certainly called out, and you know, were transparent in terms of what that was.
Joe Spak: Okay. So much for the call.
Operator: If you did have a question, it is star one. We will move next to Colin Langan with Wells Fargo.
Colin Langan: Great. Thanks for taking my question. I think there was some concern heading into guidance about Versagen being, you know, down given, you know, EVs, particularly in North America, are expected to be down a lot. I mean, what are you assuming in terms of EV volume? And then so what is actually keeping that growth positive if EV is sort of an underlying headwind within there?
Kevin Clark: Yeah. Our outlook for EV growth as a company is roughly 15% year on year. The majority of that growth is driven in China. And it's a mix of Bev and slightly faster growth rate in plug-in hybrids and hybrids. So very low growth here in North America, moderate growth in Europe, and then stronger growth in Asia Pacific, principally China. So I think we're roughly Colin, I think we're roughly five or six points from a growth rate assumption standpoint below where IHS sits today.
Colin Langan: Okay. Great. And then Intelligent Systems margins were surprisingly weak in Q4. Particularly since normally a quarter where you get a lot of engineering recoveries. Any color on the weakness? And I guess more importantly, how should we think about margins into '26 as they kind of bounce back?
Kevin Clark: Yeah. On a full-year basis, margins in Intelligent Systems were up 30 basis points if you exclude foreign exchange. So strong year-over-year growth. In the quarter, I think we had three impacts. Varun talked about foreign exchange. So we were impacted from a foreign exchange standpoint significantly. I think it's roughly 170 basis points that we show on our chart. Then there are two aspects from a timing standpoint. One, engineering credits actually were not as heavily weighted in the fourth quarter. I think in our Q3 earnings call, we made some commentary with respect to the timing of engineering credits. And then the second thing, just Varun mentioned, we've accelerated the investment in some engineering areas in and around technologies and solutions or bringing technologies and solutions into the robotics market. So we have incremental investment in the fourth quarter that will increase and that will continue into the first quarter of this year and, you know, through the balance of 2026. So those are the three drivers of the year-over-year margin degradation for the Intelligent Systems business.
Colin Langan: And I guess FX and the into Q1, the engineering investment continue. So those would be incremental headwinds as we think about.
Kevin Clark: Yeah. There's some headwind for FX and commodities, much lower based on where we sit today than what we had in the fourth quarter. And then the engineering investment will continue.
Colin Langan: Got it. Alright. Thanks for taking my questions.
Operator: We'll go next to James Picariello BNP Paribas.
James Picariello: Hi, everybody. I just wanted to clarify first on the stranded costs that's embedded in the pro forma outlook because, yeah, adding the EBITDA midpoints of new Aptiv and EDS. Right? There's a like a $75 million difference. Does that account for both the RemainCo's $70 million in stranded costs? Well, based on the Analyst Day as well as the stand-up costs that EDS will have as a separate entity? Thanks.
Varun Laroyia: Yeah. James, it's Varun Laroyia. Yes. You know, we called out about $70 million in stranded costs at Investor Day. What we obviously, we've made progress both from a headcount and non-headcount actions those have been layered in. Some of those actions have already begun. But $50 million impact in the first full year on a pro forma basis. For NuAptiv, that's the 50 small, I call it public company, setup costs for Versagen, roughly about $15 million. And then the other piece, as we called out, were some of the investments from a go-to-market perspective and product perspective that we're making in RemainCo across both intelligence systems and engineered components. Those are kind of the key elements to think about from that perspective.
James Picariello: Perfect. That's very clear. And then my follow-up is on Wind River and its potential with respect to robotics and just how you foresee that, you know, the future end market demand, tied to AI and robotics, humanoid robotics. Does Wind River have, you know, have a TAM there and a place to play? Thanks.
Kevin Clark: Yeah. So Wind River, I would say, is from a software standpoint, the tip of the spear. So they serve multiple markets, including the robotics market. Today with Linux solutions, with RTOS solutions, and other software products. So, it's a TAM that we estimate to be about $6 billion. When you look at the, you know, a comparable to our content per vehicle that we use for the automotive sector. It's roughly 4 to $5,000 of content. On a rollout when we look at sensor solutions, when we look at so that could be vision or camera as well as radar. When we look at the software tech stack. And then when we look at the interconnect and the cable or wire harness solutions. So we view it as a very attractive market. The partnerships that we've announced today, making meaningful progress with. We think during the first quarter we'll have more commercial relationships or partnerships that we'll be announcing that will show the traction that we have in place. And that's what quite frankly, gives us the confidence to increase the investment, targeted that specific market just given the opportunity.
James Picariello: Thank you.
Operator: And that was our final question. That will conclude today's question and answer session. I will now turn the call back to Mr. Kevin Clark for any additional or closing remarks.
Kevin Clark: Thank you, everyone, for joining us today. We really appreciate your time and we look forward to speaking with you and meeting with you over the coming months. Have a nice day.
Operator: Thank you. Ladies and gentlemen, that will conclude today's call. We thank you for your participation. You may disconnect at this time.